Operator: Good morning. Thank you for attending the Aspen Aerogels, Inc. Q4 2025 and full year 2025 financial results call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. I would now like to turn the conference over to your host, Aspen Aerogels, Inc.’s Neal Baranosky, Senior Director, Head of Investor Relations and Corporate Strategy. Thank you. You may now proceed.
Neal Baranosky: Thank you, and good morning, everyone. Joining me today are Donald R. Young, President and CEO, and Ricardo C. Rodriguez, Chief Financial Officer and Treasurer. The press release announcing Aspen Aerogels, Inc.’s financial results and business developments and the slide deck that will accompany our conversation today are available on the Investors section of Aspen Aerogels, Inc.’s website, aerogel.com. During this call, we will refer to non-GAAP financial measures, including adjusted EBITDA and adjusted net income. The reconciliations between GAAP and non-GAAP measures are included in the back of the slide presentation and earnings release. On today’s call, management will make forward-looking statements about our expectations. These statements are subject to risks and uncertainties that could cause our actual results to differ materially. These risks and uncertainties include the factors identified in our filings with the SEC. Please review the disclaimer statements on Page 1 of the slide deck as the content of our call will be governed by this language. I would also like to note that from time to time, in connection with vesting of restricted stock units and/or stock options issued under our long-term equity incentive program, we expect that our Section 16 officers will file Forms 4 to report the sale and/or withholding of shares in order to cover the payment of taxes and/or the exercise price of options. I will now turn the call over to Don.
Donald R. Young: Thanks, Neal. Good morning, everyone. Thank you for joining us for our Q4 2025 earnings call. My comments will cover the evolving demand environment for electric vehicles and our related organizational adjustments, our growth outlook for the Energy Industrial segment, and our progress in developing a battery energy storage systems segment. I will also outline our strong liquidity position and the strategic review process that we are undertaking to explore opportunities to maximize shareholder value. Ricardo will amplify these points with his comments, and we look forward to your questions. Throughout 2025 and into 2026, we streamlined the organization, lowered our fixed cost base, strengthened liquidity, and positioned Aspen Aerogels, Inc. to operate effectively in a resetting EV market. As expected, U.S. EV sales in Q4 dropped significantly. GM followed suit with a ramp down of its EV production rates beginning in Q4 2025. We expect GM and other North American EV OEMs will determine the demand for EVs absent incentives and regulation during 2026 and align inventory and production rates based on the new market conditions. From this reset level, we expect EV to resume growth, though at a more measured pace than in prior years. GM has maintained its full line of EV nameplates and has stated that it remains dedicated to its long-term EV success, including in its Cadillac division where EV sales represented nearly 30% of total sales over the year 2025. In Europe, we see stronger structural drivers for our PyroThin thermal barrier segment. The key factors of market penetration, charging infrastructure, and steadier policy guidelines create a more visible multiyear adoption trajectory for OEMs. We recently secured a new award with Volvo Car, bringing our total to seven European design wins. We remain actively engaged with other European OEMs as they advance to their next-generation EV platforms, and we anticipate securing an additional award during the year. Across these European awards, we are supporting programs that incorporate battery cells from a diversified global supply base, including European, Japanese, Korean, and leading Chinese manufacturers. We are encouraged by our momentum in Europe and believe the region will be an important contributor to our thermal barrier growth in 2027 and beyond. Our Energy Industrial segment is poised to grow through the year 2026. Revenue in 2025 of $102 million was comprised largely of baseload maintenance and limited LNG work and was largely absent subsea project work, where we had record years in 2023 and 2024. We believe 2026 growth in this segment could reach 20%, supported by three primary drivers. First, we now have a robust pipeline for subsea projects and anticipate strong demand throughout the decade as more subsea developments move into deeper water and more challenging environments. Aspen Aerogels, Inc. has led this segment for two decades, and we are well placed to benefit from the current subsea cycle. We are off to a good start in 2026 with our first award win for an attractive North Sea pipe-in-pipe subsea project, which we expect to deliver in Q3. Second, LNG is an attractive growth vector for our Energy Industrial segment, and we are positioned across the activity set in 2026 to roughly double versus 2025 in both project count and revenue contribution, and we also see steady opportunities through the decade. Accelerating electricity demand keeps natural gas central for reliability and speed to power. We are positioned to convert this demand into profitable growth for our Energy Industrial segment. And the third key factor is pent-up demand for maintenance in refinery and petrochemical end users who have run their facilities hard and profitably over the past year while minimizing maintenance and turnaround. We see opportunities for strong growth in 2026 for our Energy Industrial segment with opportunities for similar growth in 2027 and 2028. In 2026, we are investing in our Energy Industrial business by adding to our customer-facing sales and technical service teams around the world. Our objective is to scale Energy Industrial into a $200 million high-margin segment without the need for incremental capital investment. As part of our long-term growth strategy, we are also developing additional commercial segments that leverage our unique technology, sales and technical service teams, and existing manufacturing assets. We believe this effort will diversify and broaden Aspen Aerogels, Inc.’s addressable market. Within energy storage, we see opportunities across LFP architectures and other high-reliability applications. With EV-proven performance, we believe our solutions can enhance fire safety and thermal performance for both large-scale and modular systems. We have structurally reduced fixed cash costs by approximately $75 million annually and expect margin expansion while requiring limited incremental capital investment. Again, we are initiating a strategic review to ensure our growth strategy and capital allocation priorities are aligned with long-term value creation. Importantly, it is being conducted from a position of financial strength and operational progress. Our objective is clear: Ensure our strategy, capital structure, and asset base are optimized to drive long-term value creation. Ricardo, over to you.
Ricardo C. Rodriguez: Thank you, Don, and good morning, everyone. I will review our fourth quarter and full year 2025 results, provide our Q1 outlook, discuss the European EV market, and close with our strategic framework. 2025 was a transitional year for Aspen Aerogels, Inc. North American EV production levels fell in response to accelerated deregulation and end-market demand, while Energy Industrial results were weighted toward maintenance activity with fewer large project awards. We believe a recovery is around the corner as EV demand finds a floor and a new baseline is established, with momentum building in our Energy business. Fourth quarter revenue was $41.3 million, including $25.3 million in Energy Industrial and $16.1 million in Thermal Barrier. GAAP net loss was $72.9 million and adjusted EBITDA was negative $18 million. Gross margin was materially impacted by lower production volumes during the quarter and certain discrete items incurred. Adjusted operating expenses, excluding impairments, restructuring charges, and bad debt expense, declined from $22.6 million in Q3 to $21 million in Q4. Reflecting the impacted conversion costs and gross margin, a $3 million bad debt expense associated with a customer solvency issue, and several year-end material adjustments temporarily elevated costs to 48% of revenue in Q4, which we view as nonrecurring. Importantly, we do not believe Q4 profitability levels reflect our go-forward cost structure. Lower EV production volumes during the year reduced manufacturing absorption, particularly in Q4, and we responded by implementing structural cost actions. Turning to full year performance, revenue totaled $271.1 million, with $102.2 million from Energy Industrial and $168.9 million from Thermal Barrier. GAAP net loss was $389.6 million and adjusted EBITDA was $2.9 million. Gross profit was $46.3 million, representing a 17% margin. With P&L headwinds, we generated $6.1 million of cash in Q4 and ended the year with $158.6 million in cash and cash equivalents. This performance reflects disciplined working capital management, inventory optimization, and materially reduced capital expenditures. In December, we amended our MidCap credit agreement to enhance covenant flexibility, and we maintain a substantial liquidity cushion under the revised terms. For Q1 2026, we expect total revenue between $35 million and $40 million. This decline from Q4 reflects typical Q1 planned production, and we expect Q1 to represent the lowest revenue quarter of the year. From this base, we anticipate sequential revenue growth through 2026 supported by three primary drivers: increasing GM production as downtime subsides and EV volumes normalize through the year; the continued ramp of our European OEM programs, which we expect to contribute approximately $10 million to $15 million of revenue in 2026; and approximately 20% revenue growth in Energy Industrial, with a greater concentration of project activity in the second half of the year. As volumes increase and we continue to lower our cost structure, we expect improved operating leverage and margin expansion throughout the year. Given the mix in the revenue range, we expect adjusted EBITDA to be between negative $13 million and negative $10 million for the quarter. We expect working capital to be neutral to slightly positive and capital expenditures to remain minimal. Over the past year, we have methodically restructured Aspen Aerogels, Inc. to operate with a significantly more efficient cost base while preserving long-term revenue capacity. In 2024, adjusted EBITDA breakeven was approximately $330 million of revenue. In 2025, that level will decline to approximately $270 million, and by 2026, we will have reduced that further to approximately $200 million. Looking ahead to 2027, as further structural efficiencies are realized, we are targeting an adjusted EBITDA breakeven level of approximately $175 million of revenue. For 2026, we currently expect $10 million of capital expenditures and approximately $35 million of scheduled debt payments, including $24 million of term loan principal amortization. Factoring in scheduled debt amortization, disciplined capital spending, and improving profitability through the year, we expect to expand our net cash position to over $70 million by the end of this year. Let me highlight our positioning in Europe, which we view as a structurally attractive EV market with increasing visibility into future platform launches. EV penetration is projected to approach 40% of European production by 2030, supported by continued infrastructure expansion, OEM electrification commitments, and evolving regulatory frameworks. Importantly, Aspen Aerogels, Inc. is embedded across major European EV platforms spanning both passenger and commercial vehicles. Our European-only pipeline represents approximately $220 million tied to 2027 launches, expanding to more than $450 million in 2028. These figures reflect customer growth potential into 2027 and 2028, and several of these programs incorporate activity in North America and Asia as well. Taken together, Europe is positioned to become a meaningful revenue contributor beginning in 2027, with attractive capital efficiency as these platforms ramp. Lastly, I will frame our long-term strategy around three clear priorities. First and foremost, we have a healthy balance sheet. This provides flexibility to operate through market volatility, allocate capital deliberately, and pursue growth from a position of strength. With that foundation in place, our strategy centers on three pillars. First, continue driving structural operating leverage. We have reset our EBITDA breakeven level from $330 million in 2024 to $175 million in 2027, with additional efficiency opportunities ahead. Above that level, incremental revenue delivers 50% to 60% EBITDA margins, meaning a core market recovery translates directly into profitability. Second, strengthen and optimize our capital structure. We have transitioned to a capital-light, flexible manufacturing model that eliminates the need for new plant construction and allows us to scale using existing assets and swing capacity. This flexibility allows us to fund key growth initiatives while maintaining a strong liquidity profile. And third, accelerate growth through aerogel platform expansion and pursue transformative opportunities to unlock the full potential of the business. We are scaling our core EV and Energy Industrial platforms, including growing European EV momentum and renewed subsea and LNG activity, that could accelerate growth and enhance long-term value creation. We have engaged highly qualified advisers to rigorously test our assumptions, evaluate capital allocation options, and sharpen our strategic road map. Importantly, this review is being conducted from a position of strength, not necessity. Our objective is clear: thoughtful and disciplined execution of our strategy that maximizes value creation. Thank you. We will now open for questions.
Operator: Thank you, Ricardo. We will now open for questions. When prepared to ask a question, please kindly limit yourself to one question and one follow-up. If you have additional questions, please rejoin the queue. Our first question is from Eric Stine from Craig-Hallum. Your line is now open. Please go ahead.
Eric Stine: Good morning, everyone. Maybe just starting with the full value of what is being provided by your customers, or is that discounted, as I know when you have done this in the past, you have given it a pretty healthy discount? And then, curious as you think about these numbers, I know a lot of these programs are in ramp mode, but when you compare that to GM, and I know there is uncertainty as to what GM looks like as well, what do you think the mix looks like when you get out into 2027 and 2028 between your primary OEM today and a lot of these programs that are coming on in Europe, and, as we have discussed a little bit in the past, battery storage? So you mentioned, and if you can provide any clarity, you mentioned that you are actively involved in some quoting and some potential opportunities, maybe clarity there and, if you are able to, any estimate of what you think that means in terms of fitting into that 20% growth for Energy Industrial in 2026?
Ricardo C. Rodriguez: Good questions, Eric. To answer your first, it is fully the full customer volumes in 2027 and 2028. So that blue-shaded portion of the chart, the $120 million and the $150 million, that is what they have provided to us. And when we look forward at 2027 and 2028, there is a lot of activity. You can see how much quoted activity we have with programs that start in 2027 and really ramp in 2028, combined with our awarded programs today. As we think about North America versus Europe and the shifts in mix in 2027 and 2028, it is probably fair to assume that GM will continue to be at least half in 2027. In 2028, we are opportunistically looking at the quote/bid pipeline and current awards that will ramp faster, and so that mix could change. It is worth noting that these are all at similar margins, so our 35% gross margin target remains intact.
Donald R. Young: And on battery storage and the Energy Industrial outlook, we are focused on our core maintenance, LNG, and subsea-type work as the drivers of the approximately 20% growth we referenced for 2026. In parallel, we are deep in the qualification and bidding process for the new battery energy storage systems segment, and as I said in my remarks, we anticipate beginning revenue in this new segment in 2026.
Eric Stine: Okay. Thank you.
Donald R. Young: Thank you.
Operator: Thank you. Our next question is from Colin William Rusch from Oppenheimer. Your line is now open. Please go ahead.
Colin William Rusch: There is a lot of interest around rack-level storage and indoor applications, and I am just curious where you are seeing interest. Is it really for some of these larger systems that are outside some of the data centers looking at various duty cycles around voltage management and some of the heavy-duty recycling, or is it more tailored towards some of the larger-scale external systems?
Donald R. Young: We are working on large-scale external systems, but we are also doing rack-level modular-type systems as well. Again, as you point out, fire safety is most critical, and that is what we are bringing to the party in this particular case. We are working with large companies on these projects, and again, we are deep in the qualification and bidding process. Not only are we bringing important technology to it, but we have some policy advantages as well with our domestic capacity here in the U.S., which is creating benefit for those projects.
Colin William Rusch: Okay. Awesome. And then, a market where it seems like there are some applications, and we have not heard a lot about it, is in and around the military. Certainly, if you are doing things out at sea and there is a buildup of incremental EVs or EV-related devices, I am curious about any initial conversations or potential for you to enter into the defense market in a more substantial way?
Donald R. Young: It is an interesting question, and we do have a team. As I have talked in the past, this idea of broadening our addressable market includes defense, and we have deep roots in the defense industry going back to our early first decade, really. We are focusing on certain applications within defense. Our first priority, though, in adding a segment is on the energy storage side most immediately, and that is where we are applying the majority of our resources.
Colin William Rusch: Alright. Thanks so much, guys.
Ricardo C. Rodriguez: Thank you.
Operator: Thank you, Colin. Our next question is from George Gianarikas from Canaccord Genuity. Your line is now open. Please go ahead.
George Gianarikas: Good morning, and thank you for taking my question. I would like to focus on the Energy Industrial side and ask if you have tried to make an assessment as to what your market share trends have been over the last several quarters, and it is good to see it getting back to growth this year, but I am curious as to what you have discerned the lack of growth was due to last year. Thank you.
Donald R. Young: Thank you, George. We have, of course, spent a good amount of time analyzing this, and I think we can point pretty clearly to the lack of project work that separates our 2023 and 2024 numbers from our 2025 number. Let us just say roughly a $30 million to $35 million dollar gap between the earlier years and last year, and you can go straight to subsea, for example, and that accounts for the vast majority of that gap. Our market share in that segment is extremely high. Yes, we occasionally lose a project, but not very often, and so the fact is in 2025 there just were not many projects to be had. When we look at the pipeline for 2026, 2027, and 2028, it is much more robust. The project that we won earlier this year gets us back. More typically, a year is a number in the mid-teens, and the project that we won earlier this year that we will deliver in Q3 gets us a long way towards getting back to that average level, and we have other projects that we are trying to tie down now for the second half of this year, and that is why, George, we believe that we will grow our Energy Industrial business throughout the year. We will build on it quarter in and quarter out through the year and do believe that we have that opportunity to grow that business by 20%.
George Gianarikas: Thank you. And maybe as a follow-up, Slide 5 talks a lot about this growth potential for Europe, particularly in 2027–2028. I am curious how you juxtapose that with some of the news coming out of Europe that the ACC, they are still operating, but they appear to be winding down some of their growth projects. Are there other battery manufacturers that you are working with to support some of the OEMs that are involved in that joint venture? Thank you.
Donald R. Young: Yes, George. We are. In fact, I think both Ricardo and I had referenced in our comments working with battery cell manufacturers who are European, Korean, Japanese, and a couple of the leading Chinese manufacturers as well. That has given us a more robust outlook on Europe and a little less dependent on any single cell manufacturer. You mentioned ACC. We had Northvolt as well. As just an example, in the Northvolt case, those battery cells were replaced by Asia-based cell manufacturers, and we are right in the middle of those programs. So that diversity is important to us, I think, and gives us confidence about the European market.
George Gianarikas: Thank you so much.
Operator: Thank you, George. Our next question is from Chip Moore from Roth Capital Partners. Your line is now open. Please go ahead.
Chip Moore: Good morning. Thanks for taking the question. Don, maybe on adjacent growth opportunities beyond BESS, any more you can share on what you might be looking at? Obviously, building materials in the past has been something you targeted. Any update on some of those target markets?
Donald R. Young: We have a strong background on the B&C side, and we are working on a product today that we believe can be effective in a slice of that market. It is a very large market, and so a slice is additive for us and incremental for us, and as we pointed out, incremental revenue is extremely valuable to us. It is a product that we would most probably supply from our EMF supplier, and we want to make sure we have just the right product that gets certified properly. Then we renew the relationships that we had in that space, and before we became tight on capacity in the late teens, we developed that segment into a multimillion-dollar effort on our part, and we think we can rekindle that with our fire safety and thermal performance characteristics.
Chip Moore: And with Europe in particular, would that be more of the target opportunity for that product?
Donald R. Young: Yes. The building type and more of the thermal efficiency regulation and the style of buildings in Europe suit our retrofit-type approach to the market and increasing thermal performance in existing buildings.
Chip Moore: And maybe for my follow-up question, on the strategic review, any more you can give us on the process and timeline and potential options that you might consider? Thanks.
Donald R. Young: Look, for the strategic review, we have had a lot of change in our commercial markets. We have restructured the company significantly. We have strengthened our balance sheet significantly, and we feel that we are making operational progress that translates into quarter-over-quarter growth throughout this coming year. From a strategic review point of view, we just want to make sure that we have some external influences on our thinking and that we do not get too caught in our own thinking. Testing our assumptions externally, we think, is a prudent thing for us to do. We are able to do it, again, much more off of our front foot as opposed to our back foot. We are going to be very deliberate about it on the one hand, but this is important to us, and we are going to do it with urgency. We have a broad view. We are in our early stages, so we do not want to take anything off the table, but we are not prepared quite yet to say what the logical outcome would be of that effort.
Ricardo C. Rodriguez: And maybe just to add to Don's comment, we are in the early stages, but right now we have plenty of cash runway. So this is not about just bolstering the balance sheet more or anything like that. What we are focused on is pouring gasoline on the fire. We want to accelerate growth, and to do that, we want to have world-class advisers and have fresh thinking and make sure that we are pursuing every strategic opportunity while maintaining optionality for the business. We are going to be very deliberate in our search and in our process, and in doing so, I think that we will, naturally over time, funnel down these opportunities to find that unicorn.
Chip Moore: Thank you.
Operator: Thank you, Chip. Our next question is from Ryan James Pfingst from B. Riley. Your line is now open. Please go ahead.
Ryan James Pfingst: To follow up on battery storage first, can you size the revenue opportunity, maybe if not this year, perhaps later in the decade as it matures, or is it still early to do that there?
Ricardo C. Rodriguez: It is still early, Ryan, to really get to exact numbers or exact projections, if you will, by the end of the decade. But what I would say is that we know it is a growing market, an important market, and we would not do it unless it could be impactful and also leverage our current technology and our current manufacturing capabilities. For us, this is a little bit of a tweener in the sense that it leverages our expertise around thermal barriers, but it is in more of an industrial setting. It is a natural extension of our existing markets and capabilities. But, again, what I would say over the course of the remaining part of this decade is we would not be doing it if it did not have impactful growth potential.
Ryan James Pfingst: Got it. Appreciate that. And then maybe one on the EV side and quoting activity. Don, I think you mentioned it in your prepared remarks, but how are you thinking about potential wins this year, and how would those wins compare to some of your current OEM partners in terms of scope?
Donald R. Young: We did indicate that we think we are in a strong position to add an additional opportunity in Europe and potentially here in the United States as well, and we do not exclude some of the work that we are doing in Asia as well. We think we have the opportunity to add one, two, possibly three additional awards. What I would say about the awards is that these OEMs are more experienced. Their technology has developed more significantly than even two years ago or three years ago, let alone five and six years ago when some of the platforms that are rolling off now were originally conceived. Our work is much faster and more technical and with a greater knowledge base not only for ourselves but for those OEMs as well. We see these programs proceeding much more effectively. As I said, we see the European market—just the structural aspects of that market with steadier policy and a more mature infrastructure—to be a great opportunity for us, as we showed in the opportunity base in one of our slides today.
Ricardo C. Rodriguez: Great. Thanks, Ryan.
Ryan James Pfingst: Thank you.
Operator: We currently have no further questions, so I will hand back to Don for closing remarks.
Donald R. Young: Thank you, Gabby. We appreciate your interest in Aspen Aerogels, Inc., and we look forward to reporting to you our first quarter results in May. Be well, have a good day. Thank you.
Operator: Thank you. This concludes today’s Aspen Aerogels, Inc. Q4 2025 and full year 2025 financial results call. Thank you for joining. You may now disconnect your lines.